Operator: Ladies and gentlemen, good morning and thank you for attending today's Altra Industrial Motion's First Quarter 2022 Earnings Call. My name is Sam, and I will be the moderator for today's call.  It is now my pleasure to turn the conference over to your host, Ryan Flaim from Sharon Merrill. Ryan, please proceed.
Ryan Flaim: Thank you, Sam and good morning, everyone, and welcome to the call. To help you follow management's discussion on this call, they'll be referencing slides that are posted to the altramotion.com website under Events and Presentations in the Investor Relations section. Please turn to Slide 3. During the call, management will be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are inherently uncertain, and investors must recognize that events could differ significantly from management's expectations. Please refer to the risks, uncertainties and other factors described in the company's quarterly reports on Form 10-Q and annual report on Form 10-K and in the company's other filings with the U.S. Securities and Exchange Commission. Except as required by applicable law, Altra Industrial Motion Corp. does not intend to update or alter its forward-looking statements whether as a result of new information, future events or otherwise. On today's call, management will refer to non-GAAP diluted earnings per share, non-GAAP income from operations, non-GAAP net income, non-GAAP adjusted EBITDA, non-GAAP operating income margin, non-GAAP adjusted EBITDA margin, non-GAAP organic sales, non-GAAP gross margin, non-GAAP operating working capital, non-GAAP net debt, non-GAAP free cash flow and non-GAAP adjusted free cash flow. These metrics exclude certain items discussed in our slide presentation and in our press release under the heading Discussion of non-GAAP Financial Measures and any other items that management believes should be excluded when reviewing continuing operations. The reconciliations of Altra's non-GAAP measures to the comparable GAAP measures are available in the financial tables of the Q1 financial results press release on Altra's website. Please turn now to Slide 4. With me today are Chief Executive Officer, Carl Christenson; and Chief Financial Officer, Todd Patriacca. I'll now turn the call over to Carl. Carl?
Carl Christenson : Yes. Thank you, Ryan, and thank you for joining us today. We turned in a great quarter. We had record sales as our teams executed extremely well in spite of the continued supply chain challenges. Margins improved significantly when compared with the fourth quarter of 2021 as the pricing initiatives that we have been working on are now showing up in the P&L as we are working through the backlog of orders that had lower pricing. We closed a portion of the gap in the first quarter and expect to continue to close the gap through the balance of the year. We do expect to continue to experience high inflation due to commodity prices, logistics and labor costs. We will take further pricing actions as necessary to offset inflation. Some of these cost increases are transitory and once supply and demand balance out, we should experience additional margin improvement as commodity and logistics costs return to a more normal level. Of course, as the Fed raises interest rates to slow the overall economy, there is a risk that we could also experience a slowdown. However, our current incoming order rate certainly doesn't indicate any slowing. As we shared at our recent Investor Day, we believe there are vast opportunities ahead as we execute on our strategy to position Altra as a technology leader in power transmission and motion control solutions and optimize our opportunities as a premier industrial company. Our first quarter performance validates the thesis that Altra is well positioned to deliver exceptional value for our shareholders in the quarters and years ahead. We have continued to demonstrate that by harnessing the Altra Business System, we can drive growth, margin expansion and strong cash flow through a range of market conditions. Effectively deploy the cash we generate to accelerate new growth opportunities, retain a healthy balance sheet and return capital to our shareholders and build the team, culture and systems necessary to repeat the process and create a perpetual flywheel for sustainable value creation. Turning now to Slide 5. I will start with a few highlights from the quarter. Todd will then get into more detail on the results, along with an update on our guidance. Across the board, the Altra team once again did an incredible job of capitalizing on broad-based market demand and managing the business through a challenging environment. As a result, we delivered record level quarterly sales of $512 million, up 8.4% from the prior year and grew organic sales by nearly 8%. On a pro forma basis, excluding contributions from JVS, Q1 sales grew 13.6%, a strong indication of the underlying health of our transformed portfolio. At a macro level, while market headwinds continue to persist from several factors, including supply chain pressures, the war in the Ukraine and lockdowns in China, we have observed a few positive developments worth noting. Our mitigation efforts for some supply chain issues are working and labor staffing shortages, while still acute, are somewhat better. This has enabled us to improve shipments and on-time delivery performance. Our order rate in the quarter continued to be very strong, a testament to the power of Altra's portfolio of highly engineered and mission-critical solutions and the pent-up demand across the industrial markets. We ended the quarter with a book-to-bill ratio of 115% and record backlogs across most of our businesses. This positions Altra to deliver a strong sales trajectory through the remainder of 2022 and beyond. The team also did an exceptional job leveraging ABS to mitigate the bottom line impact of market headwinds. In addition to capturing the Nook synergies, we have started to see the benefits from our pricing initiatives flow through during the quarter. These drove a 150 basis point sequential increase in adjusted EBITDA margin. As Todd will expand upon, we expect to continue to close the price cost gap through the balance of the year. As we described during our Investor Day, we expect to be able to expand operating margins by 300 basis points by the end of 2024. The primary drivers of the margin improvement will be operating leverage on organic growth, pricing, supply chain cost reductions, both as demand and supply balance out generally and through specific internal initiatives to reduce costs, such as PPV and VA/VE -- continued synergy capture, productivity improvements by reducing waste in all aspects of the business through ABS and by focusing on higher margin opportunities while deemphasizing opportunities with lower margins. We also delivered a strong earnings performance. Q1 net income was $44.8 million or $0.69 per share, up 14% and 15%, respectively, from the prior year period. Non-GAAP net income grew to $59.6 million or $0.91 per share, a new company record. This was up nearly 6% from the prior year. On a pro forma basis, excluding contributions from JVS from both periods, adjusted EPS of $0.78 was up more than 16% year-over-year. I would also like to highlight a few significant strategic milestones that we have achieved since the start of the year. We're making great progress actively managing the portfolio, including tremendous progress integrating Nook Industries. The addition of Nook Industries has expanded our motion control and power transmission capabilities in the attractive aerospace and defense marketplace. In Q1, Nook was accretive to earnings, and we remain on track to achieve our targeted cost synergies. Nook is an excellent example of how we are leveraging our refined approach to the 3 phases of the M&A cycle to be competitive in today's market, while continuing to add shareholder value. One of the upside surprises regarding Nook was how great the Nook team is up and down the organization. We swiftly completed the sale of the Jacobs Vehicle Systems business, a significant milestone that has removed about $194 million of non-core cyclical business from our portfolio and improves our capital allocation optionality going forward. Leveraging the proceeds from JVS, we have paid down approximately $350 million of debt. Today, our net leverage stands at 2.3x net debt to adjusted EBITDA, well within our target leverage range. Our capital allocation priorities have not changed and returning capital to our shareholders remains one of our priorities. As announced earlier this week, we have raised our quarterly dividend from $0.08 to $0.09 and authorized a $300 million share repurchase program. We also remain committed to investing in profitable growth through high return organic investments and by pursuing disciplined and accretive Altra like M&A opportunities as they arise. On the organic growth side, we're leveraging our ABS tools to win in higher growth end markets and increase Altra's exposure to secular trends that will drive growth, like digitization and automation, the aging population and sustainability. As an example, during the quarter, we landed our largest ever remote monitoring order from a large mine in China. Developing recurring revenue and integrating our technical expertise into the end users' problem solving is a key objective of our IoT initiative. On the M&A front, following the successful Nook Industries acquisition during the quarter, our businesses continue to actively build the funnel to find and nurture acquisition candidates that offer attractive market prospects and fit our defined Altra-light criteria. We will focus on businesses that design and manufacture highly engineered mission-critical power transmission and motion control solutions have high share positions in well-defined niches and participate in markets with strong secular trends. During the quarter, we released our inaugural sustainability report. We have a long history of leveraging our core values in the Altra Business System to drive positive impact, create business value across a range of ESG issues. I would like to thank Altra's ESG Task Force Board and the Altra team for contributing to deliver on this important milestone, our ESG journey. The materiality assessment that we completed last year was a key step forward as it helped us to identify the ESG issues that matter most for our business and our stakeholders. We leveraged this effort to define Altra's new sustainability pillar framework, which includes delivering solutions through innovation, protecting the environment, reaching our full potential through teamwork and operating with integrity. Going forward, we are focused on further enhancing our systems to collect and assess key ESG data and better quantify our impact. We are committed to being transparent about our progress and look forward to keeping our investors updated throughout the year. It is a great read, and I encourage everyone to visit our website and take a look at our corporate sustainability report. I'm extremely proud of all that we have accomplished so far this year. As Todd will expand upon shortly, today, we are resetting our 2022 guidance to reflect the sale of JVS and the increase in working capital to support our ongoing efforts to manage market demand. We are also raising our 2022 guidance for our ongoing businesses to reflect very strong underlying demand. Notably, we expect to keep earnings consistent compared to the prior year despite a $194 million revenue reset related to the JVS divestiture. We expect Q2 to be similar to Q1 and have not substantially changed our view on the second half. Now turning to Slide 6 for a review of the markets in more detail. Over the past several years, we have made tremendous progress transforming Altra's portfolio. Today, over 50% of our business is exposed to high-growth markets with strong secular trends. On this morning's call, I will focus my market commentary on the 6 key end markets and our distribution business. Starting with Factory Automation and Specialty Machinery, which represents about 14% of our business and is driven by secular trends, including global digitization, industrial IoT, reducing the length of supply chains and collaborative robots. In Q1, demand in robotics, electronic assembly equipment, specialty machinery and general factory automation machinery remained strong and sales were up high double-digits compared to the prior year. We continue to expect 2022 to be another strong year in this market given the positive long-term macro trends driving growth. Turf and Garden, Ag, and Construction, which combined represent approximately 10% of our business is driven by trends like increased infrastructure spending and global population growth. Here, we continued to perform well in Q1, growing high double-digits year-over-year, with all 3 segments up sequentially. Our outlook remains very positive for these markets in 2022 as the fundamental growth drivers in these markets appear to be strong. Moving onto Material Handling, which represents about 8% of sales and is well aligned with trends such as e-commerce, electrification and warehousing efficiency improvements. In Q1, sales were up double-digits, driven by continuing strength across all key segments, including conveyors, forklifts and vertical lifting systems. Long-term, we remain positive about our growth prospects in Material Handling. Medical equipment, which was about 8% of our sales, is a very, very attractive long-term opportunity for Altra, driven by trends like the aging population and the growth of noninvasive and robotic surgeries. In Q1, sales were essentially flat year-over-year as medical capital equipment sales were strong, offsetting a decline in surgical solutions, which faced some pressure as a result of the COVID surges late in 2021 and the beginning of 2022. Surgical medical solution OEMs are adjusting inventory levels near-term because of the drop in demand for elective surgeries due to the Delta and Omicron surges. We remain positive about the outlook for the medical market in 2022, given the anticipated easing of COVID restrictions and return to more normal levels of spending and investment, as well as favorable prior year comps as we progress through the year. Moving onto Aerospace and Defense, which combined is about 5% of sales. Both markets were down low single digits, reflecting lumpiness and timing. Bookings, however, remained very strong, and we remain positive on the outlook for our A&D business, which is an important bottom line contributor with a very attractive margin profile, a strong competitive position and high barriers to entry. Renewable Energy, which represents about 4% of sales, was down double-digits versus Q1 last year, primarily due to a decline in China. Looking ahead, we continue to expect COVID and supply chain headwinds to affect bookings into the first half of 2022, followed by a rebound as the year progresses. Longer term, given the global sustainability movement and increasing demand for zero-carbon energy solutions, we continue to believe the renewables represents a very exciting growth play for Altra. And finally, distribution, which represents approximately 25% of sales, was up low double-digits from Q1 last year and up single digits sequentially. Our sales in the distribution market continue to track in line with the general industrial economy. Our bookings and book-to-bill for the quarter were strong, and we're anticipating a solid performance in this part of our business in 2022. Looking forward, we expect continued broad-based end market strength in 2022 with moderating growth as we go against tougher comps, the Fed raises interest rates, China expands shutdowns and the war in Ukraine, all stunt growth potential. As I said, we do not have much visibility into the second half, and therefore, we have not changed our view on the second half and our improved guidance for the ongoing business. Now turning to Slide 7. Looking ahead, we remain focused on executing on our strategy to optimize Altra's position as a premier industrial company and deliver strong and sustainable returns for shareholders. As we outlined at our Investor Day, this includes leveraging our technology differentiation and proven Altra Business System tools in strong secular markets to achieve 3% to 5% annual organic growth, actively managing the portfolio through disciplined M&A to drive further upside, delivering 300 basis points of margin expansion by 2024 and achieving consistent free cash flow conversion greater than 100%. Longer term, we have great conviction that we are setting Altra up to be a true through-the-cycle compounder with the potential to achieve $3 billion in revenue by 2027. With that, I will turn the call to Todd to take you through our financial performance details and guidance update.
Todd Patriacca: Thank you, Carl, and good morning, everyone. Please turn to Slide 8. Having entered 2022 with record backlog and solid underlying market demand, we achieved record sales in the first quarter. For the first time in Altra's history, we eclipsed $500 million in revenue in a single quarter. Despite the persistence of supply chain and logistics issues stemming from the ongoing pandemic, Q1 sales were up over 8.4% year-over-year to $512 million. We ended the quarter with a book-to-bill ratio of 115% and again saw growth in our record level backlog, now just shy of $900 million. These are positive indicators that sales throughout the remainder of 2022 will remain strong. Despite rising inflation, our pricing initiatives have been successful. And as a result, we continue to expect price cost will be back in alignment and margins will be at historic levels in the second half of the year. Gross margin was 35.2% compared to 36.4% for the same quarter a year ago, but our pricing initiatives drove a 160 basis point sequential improvement from the fourth quarter, which was much quicker than we originally anticipated. Taking a closer look at our top line performance, price contributed 375 basis points for the quarter and FX had a negative effect of 180 basis points. In Q1 2022, overall organic sales growth was 7.9% compared with the first quarter of last year. The Power Transmission Technologies segment's organic sales were up 17.1%. The year-over-year increase continues to demonstrate the resilience of our balanced portfolio of operating companies, as well as the success of our ongoing pricing efforts within the segment. The Automation & Specialty segment's organic sales were down 0.2% compared with the prior year. The decline was driven by the extremely challenging comps for our heavy-duty truck market in China and the medical business due to heavy COVID-related sales into the ventilator market in the prior year. On a pro forma organic basis, excluding JVS First quarter sales for A&S increased 8.5% overall year-over-year, again demonstrating the strong demand in the ongoing businesses. Turning to our organic sales performance by geography. Organic sales were up 17.7% in Europe and 13.4% in North America with strength across most of our end markets. Organic sales in Asia and the rest of the world were down 18.3% year-over-year, mainly due to the Class 8 truck and wind markets in China. Pro forma Q1 2022 North America organic sales were up 13.9%. Europe was up 18.2%, and Asia and the rest of the world were up 1.2%. Moving onto our operating performance. Non-GAAP net income from operations increased by $6.2 million from Q1 last year or 7.4%, primarily due to volume leverage, partially offset by higher operating expenses due to inflation. Price lagged costs by approximately 40 basis points in the quarter. We have made progress in our pricing initiatives earlier than anticipated and assuming no significant additional inflation, we expect to continue to close the price cost gap over the remainder of the year. Non-GAAP adjusted EBITDA was $103.1 million for the first quarter, up 1.5% compared with Q1 last year or 20.1% of net sales, down 140 basis points compared with Q1 last year. Excluding JVS, pro forma adjusted EBITDA grew to $93.8 million or 20.1% of net sales, down 30 basis points year-over-year. Non-GAAP operating margins are behind 20 basis points when compared with Q1 of last year. However, on a pro forma basis, though, when you exclude JVS, operating margins grew by 40 basis points year-over-year, demonstrating the power of the ongoing business at Altra. Interest expense was down approximately 33% due to lower debt levels and more favorable pricing as a result of our November 2021 refinancing. Please turn to Slide 9 for a closer look at our balance sheet improvements, cash flow and liquidity. Non-GAAP free cash flow the quarter -- for the quarter was negative $42.7 million compared with $26.6 million in the year ago quarter. Working capital grew from year-end 2021 by approximately $80 million, reflecting growth in inventory and accounts receivable, primarily driven by strong March sales, which were up 25% when compared to the month of December 2021 and reflecting our investment in inventory to support the strong underlying demand. Capital expenditures during the quarter totaled $17.8 million, up 85% from the prior year quarter as we continued to invest in growth opportunities. We finished the quarter with $183.7 million of cash. Please turn to Slide 10. Looking ahead, based on our current plans for debt paydowns and returning capital to shareholders, we expect to exit 2022 with leverage of approximately 2 to 2.25x on a net debt basis, well within our target range. As we outlined at our Investor Day, we have been evaluating alternative methods to return capital to shareholders while continuing dividend growth. Earlier this week, we announced that our Board of Directors have approved a new share repurchase program. The program authorizes the repurchase of up to $300 million of Altra common stock through December 31, 2024. The resumption of Altra stock repurchase program reflects the Board and management's confidence in Altra's ability to continue generating free cash flow, while positioning the company for future investments in growth, both organically and through M&A opportunities that align with our ABS strategy. Please turn to Slide 11 for an update on our outlook for 2022. As we further our work in 2022, we remain confident in Altra's prospects for the year as we look to build on a very successful first quarter. We are encouraged by the team's resiliency and proactivity in addressing the challenges markets are facing in 2022. And while these continue, we have demonstrated our ability to control what we can control and capitalize on robust demand with a historic quarter for Altra. We look to continue leveraging our strong customer relationships to outperform our competitors in fulfilling customer needs in the quarters ahead. Today, we are resetting our 2022 guidance to reflect the sale of JVS and the increase in working capital to support our ongoing efforts to manage market demands. We are also raising our guidance for our ongoing businesses to reflect the very strong underlying demand. With that as background, our guidance for the full year 2022 is as follows: Including the JVS contribution in 2022, we expect annual sales in the range of $1.9 billion to $1.94 billion, GAAP diluted EPS in the range of $2.59 to $2.69, non-GAAP adjusted EPS in the range of $3.35 to $3.50 and non-GAAP adjusted EBITDA in the range of $388 million to $403 million. Excluding JVS, in 2022, we expect annual sales in the range of $1.855 billion to $1.895 billion, GAAP diluted EPS in the range of $2.54 to $2.64, non-GAAP adjusted EPS in the range of $3.22 to $3.37, and non-GAAP adjusted EBITDA in the range of $379 million to $394 million. Notably, we expect earnings to be equal or higher compared to the prior year despite a $194 million revenue reset related to the JVS divestiture. For both scenarios, we are lowering our depreciation and amortization guidance to a new range of $95 million to $100 million. We are raising our capital expenditure expectations in the range of $50 million to $55 million, and adjusting normalized tax rate for the full year to be in the range of 22% to 23%. We are also lowering our adjusted non-GAAP free cash flow range to $125 million to $140 million to reflect our investment to support the strong demand we are experiencing. Please turn to Slide 12. To help everyone better understand the ongoing business, we have provided a comparison of the 2022 pro forma guidance versus the pro forma 2021 results. As you can see, we expect to deliver double-digit adjusted EPS and adjusted EBITDA growth in 2022, while growing the top line at high single digits to low double-digits. This, again, is a strong demonstration of the underlying strength of our transformed portfolio and the power of the Altra Business System. Now please turn to Slide 13. In addition to the previous slide, we have included a 2021 pro forma results table by quarter and full year to assist you in your ongoing analysis of Altra. With that, I'll now turn the call back to Carl before we take your questions.
Carl Christenson : Thank you, Todd. And please turn to Slide 14. We're extremely pleased with the progress we have made towards our goal of being recognized as a premier company and I would like to wrap up with a few key messages. First, with the sale of JVS, acquisition of Nook and our organic growth initiatives, we are improving the underlying earnings power and exposure to markets with high secular growth. Second, Altra is executing on the strategy we discussed at our Investor Day last month and capitalized on our opportunities with a record-setting quarter. Our team is doing an exceptional job managing through the dynamic market environment. You see this on the bottom line as our pricing initiatives become apparent and on the top line as we continue to deliver exceptional bookings and sales growth. Third, we have strong convictions in our ability to expand margins, generate strong cash flow and maintain a strong balance sheet. We believe that by allocating our capital prudently and wisely, we will become a market compounder. Finally, we recognize that the sale of JVS and the improvements we are working on complicate the outlook, so we have provided details and guidance to clarify the picture of the exceptional growth, operating margin expansion and cash generation potential of the ongoing business. We look forward to sharing our progress throughout fiscal 2022. And with that, we will now open up the call for questions. Sam?
Operator:  Our first question comes from Jeffrey Hammond of KeyBanc Capital Markets.
David Tarantino: This is David Tarantino on for Jeff. So clearly, a pretty impressive step up in margins in A&S sequentially and obviously kind of a lot of moving parts going forward. And obviously, price realization was kind of the main driver. But could you give us kind of some more detail on what you think specifically with A&S moving forward?
Todd Patriacca: Yes. So they made some great strides in the price cost gap. You're absolutely right. We continue to initiate additional pricing actions through the first quarter. We will continue to do pricing actions, as Carl mentioned, as we see costs continuing to rise. But A&S is experiencing extremely strong demand, and it's very broad-based across the Thomson and Kollmorgen businesses. The Portescap, as Carl mentioned, the medical sales were essentially flat, just up modestly. So we are feeling some pressures in that end market in the A&S segment. We continue to expect that they will close the gap further on the gross profit line as we continue through the year.
David Tarantino: Great. And then just switching gears maybe a little bit. Could you give some color on the announcement of the share repurchase program given it seems to kind of maybe depart from the M&A growth story outlined at the Investor Day.
Todd Patriacca: Yes, sure. So we had -- historically, we had a share repurchase plan authorized by the Board. It expired after we had completed the A&S merger and at the time due to our leverage and our stated priorities of getting the leverage back into the leverage range, our target leverage range, we opted to not authorize a new share back -- share buyback program at that time as we did not feel it conveyed the right message and where we were going to be prioritizing our capital. We feel that now is the right time to do it. It gives us greater flexibility now that our leverage is down in the target range. And as Carl said, we are continuing to build our M&A funnel, and that will still remain a priority, but this gives us an option to deploy capital back to our shareholders if that's the right thing to do at the right time.
Carl Christenson: And I think if I outlined our priorities and series, our top priority is to invest in organic growth initiatives. Our next priority is to grow through M&A. Our third priority is to continue to pay down the debt and the fourth priority would be to return cash to shareholders. And we needed the optionality since we didn't have a current share buyback program, if there's a big dislocation in the stock price or there's a dislocation in the M&A environment because people aren't selling companies, we wanted the optionality to be able to execute returning cash to shareholders.
Operator:  Our next question is from Jake Jarnigo of Baird.
Jake Jarnigo: Yes, going in for Mike Halloran again today. So a question on -- just to kind of elaborate on your guidance and the approach to it. For us, it looks like 1Q overage, you have good visibility into 2Q and then basically kind of maintaining conservative assumptions in the second half. Is that a fair assessment? And then, quantitatively or qualitatively, what's the kind of price and volume assumptions may be embedded in your organic growth, which looks like it's around mid-single digits. So any color on those would be helpful.
Carl Christenson: I'll start with the philosophy, Jake, and then Todd can get into the numbers. But you're exactly right. We -- the visibility for the second half with the war in Ukraine, the shutdowns in China, the uncertainty about what's going to happen with the Fed and interest rates and big debate there. And then, the supply chain issues, we just did not -- we just don't have the visibility to really predict how all that's going to impact. And if a couple of those things get resolved, it could turn out to be a whole lot better. So we felt it was more prudent just to maintain the outlook for the second half.
Todd Patriacca: Yes. So related to Q2, yes, we would expect sort of similar growth rates that we saw in the first quarter of this year. And quite frankly, when you look at it, we're getting back to what we used to see more traditionally where we would do slightly more than 50% of our revenues in the first half of the year with a little bit of seasonality in the summer months with our European exposures. And as Carl said, we felt comfortable with that leaving the back half of the year sort of in line with our original guidance from back in February. And with the visibility we have to Q2, bumping the guide up as a result of the Q1 beat and the expected performance in Q2.
Jake Jarnigo: Got it. Very helpful. And then -- yes, go ahead, Carl.
Carl Christenson: No, just regarding price cost, I think we made significant progress in Q1 as we worked through some of the order book that have been priced lower and the price increase really started to take effect. We expect that to continue into Q2. And then, some of it will bleed over into Q3 and Q4. But I hope by the end of Q2, we've -- we'd have the majority of it caught up. And that has the one caveat that we don't see significantly higher inflation and have to go with another round of price increases, because we'll have to work through the orders that we have there at the current pricing. So if inflation takes off again, that's the one caveat.
Jake Jarnigo: Got it. Makes sense. And then, yes, I mean A&S margins were really good this quarter. A lot of those end markets and there are automation and material handling kind of the higher end of the spectrum in terms of electronics and drives and things like that, parts where we've heard supply chain is particularly sensitive and hackable in a way to put it. I guess, are you guys -- you think you're managing better than maybe some peers in the area? What's the kind of like on the ground there? Maybe that leads into kind of the strategic increases in working capital around there? I guess, maybe your approach there and what you're seeing on the ground?
Carl Christenson: Yes. I think one thing we have -- some of the positions with some of our businesses are really mission-critical. And so in order to support those mission-critical businesses, we worked with our customers to buy components at sometimes very elevated prices. And I think somebody that has more or less mission-critical business probably didn't need or have to do that and didn't need to make the quick decisions on what to buy, when to buy it, how much to pay for it. And our team did an outstanding job getting out there and finding components that we needed to serve some of those industries, defense, medical, in particular. So I'd say we executed extremely well. And I think I would attribute it to partly because of the customer -- the nature of the customer base that we have, that we wanted to serve those very critical industries and the customers supported it. So I think that's probably the number 1 reason.
Todd Patriacca: Yes. And we continue -- the working capital increase, half of it is tied to inventory and we've taken the position with the demand. And as Carl said, the nature of our products that -- if we can get the inventory to help serve our customers, we're going to get it so that we can continue to protect and hopefully gain additional share as a result of us servicing our customers above and beyond.
Operator:  We have a follow-up question from Jake Jarnigo of Baird.
Jake Jarnigo: Yes. I guess I'll knock a few out here. So I guess what you guys are gearing in channel inventory. Are they taking some approaches to you guys in terms of kind of safety stock? Or are they still pretty normalized and still looking to obtain more?
Carl Christenson: I think my impression is that in some cases, they are looking to based on the higher business levels and the longer lead times, put a little more inventory in place where they deem it as relatively low risk or very difficult to get components. So I'd say there is definitely some spot inventory builds.
Jake Jarnigo: Got it. And then, we've talked about this in the past, but it looks like book-to-bill is still implying that backlogs are growing a little bit sequentially. Going forward, internally, are you expecting orders to potentially flip negative as we start lapping tough comps? Or is that right now, it looks like we're still growing off the base, inflation is obviously still contributing in that number. But kind of thoughts on how orders might cadence through the year, to kind of outline some expectations there?
Carl Christenson: Yes. I don't know when it's going to happen, but in prior recoveries, when there's been -- the demand has outstripped supply, then lead times get extended, then there is a period of time where the underlying demand is still really solid, but you see a dip in the order book for a period of time, because the lead times are starting to come back in and starting to shorten up and the consistency of supply gets better. And so I anticipate we'll see the same thing. At some point, we'll see a decline in orders and people will panic and go, the world's coming to an end, it will be like Chicken Little when in reality, the underlying demand is still there. And the world is not coming to an end. So there'll be an overshoot. And then people will realize that the economy is still pretty solid or the industrial economy is still there and they'll recover. So I think that's -- we've seen that in prior -- I've seen it. I think I'm older than you, Jake, but I've seen it a few times in my life where people panicking for unnecessarily.
Jake Jarnigo: Got it. Yes, I think that's a pretty safe assumption. We don't have to run the math on the difference there. And then just one last one here, more of a modeling question. Sequentially, you kind of answered this before on A&S, but are you expecting margins to follow basically a normal seasonal cadence here? And does that imply that margins can grow here on a sequential basis for A&S.
Todd Patriacca: Yes. We expect, as they continue to work through their backlog that the margins will continue to expand and get back up to the more historic levels as we continue to work through various electronics, complexities on the supply chain side and some of the higher cost materials and getting that pricing through. But that is our working expectation.
Operator: The next question is from John Franzreb of Sidoti.
John Franzreb: I apologize if you addressed this. But last quarter, if I recall, there was revenue deferred from the fourth quarter in 2022, and that was a partial explanation for the book-to-bill. Is that still the case? Did you deliver on that deferred revenue and bookings are fundamentally solid? Or is there still a case of kind of this pushing to the right of the revenue?
Carl Christenson: No. It's -- when I look at the order book, my assumption is that there's still some portion of it is -- people trying to build inventories, trying to take account for longer lead times and just want to have things just in case. I think when you look at the shutdown of the Shanghai port, and a lot of stuff is going on in Ningbo instead of Shanghai, but there's still going to be some supply disruption. So people are still concerned. And so there's a little bit of that. But right now, I think we're at the point where most of the order book is truly the underlying demand, and that is still exceeding our shipments by 15% or so. Our past due orders are not -- we've gotten a better handle on our lead times and our delivery performance is better. So -- but I believe that the underlying demand is the bulk of our current order rate, and it is still in excess of our shipments. I don't know if that answers the question.
John Franzreb: Got it. No. Yes, I'm really just kind of looking to see if you satisfy the demand that you pushed when you talked about in the fourth quarter and what the current scenario look like? So it definitely answered the second part. But did you catch up on the stuff that you -- that was deferred in the fourth or no?
Carl Christenson: Well, I think the orders were in excess and we built past due backlog in the fourth quarter. So I wouldn't say we catch up, I'd say we held our own kind of treading water where we are right now versus still continuing to think -- we're now back up to the surface and able to breathe.
John Franzreb: Fair enough. And in regards to the realization of the pricing and keeping neutral, if you will. How far forward did we pull up the ability to recapture the price cost problem?
Todd Patriacca: Yes. So price cost, we still lagged about 40 basis points in the quarter. So we made some really good progress from where we were. We were about 100 basis points in Q4. It's primarily on the electronics side of things, and we've taken actions. We saw much better than we anticipated, pricing flowing through in Q1, and we expect that to continue into Q2. And then as we work through the backlog and then in the back half of the year as we continue towards year-end, get back up to ahead of the price cost and start contributing some additional margin.
Operator: The next question is from Jeffrey Hammond of KeyBanc Capital Markets.
David Tarantino: I just wanted to follow up, just kind of wanted to see kind of what you're seeing maybe more near-term from Europe, pretty obviously good performance in Q1, but with the war impacting economies there, I'd love to hear kind of what you're seeing more near-term?
Carl Christenson: Yes, there's a few markets that are being impacted negatively. But surprisingly, it's not as bad as I would have thought. So a little bit of an impact and certainly more uncertainty. But right now, it's -- the incoming orders are still very solid.
Operator: There are no further questions waiting at this time. So I'll hand the call back over to Carl for closing remarks.
Carl Christenson : Okay. Thanks Sam, and thank you all for joining us today. We look forward to speaking with many of you in the weeks ahead, including next week's Oppenheimer Industrial Growth Conference where Todd will be presenting on Tuesday, May 3rd at 11:15. Unfortunately I will be traveling and unable to attend. But I want to thank you again for your time, and this concludes today's call.
Operator: That concludes the Altra Industrial Motion first quarter 2022 earnings call. Thank you all for your participation. You may now disconnect your lines.